Executives: Daniel G. Cohen – Chairman, Chief Executive Officer & Chief Investment Officer John P. Costas – Chairman of PrinceRidge Joseph W. Pooler, Jr. – Chief Financial Officer
Analyst: Robert Alford – Atlas Daniel Orlow – Orlow & Orlow Sri Nadesan – Lazard Asset Management
Operator: Good morning, ladies and gentlemen, and welcome to Institutional Financial Markets fourth quarter and full-year 2011 earnings conference call. My name is Paula and I will be your operator for today. At this time, all participants have been placed in a listen-only mode. Following formal remarks, the call will be open to a question-and-answer session and instructions will be provided at that time. As a reminder, this conference call is being recorded. Before we begin, IFMI would like to remind everyone that some of the statements the company makes during this call may contain forward-looking statements under applicable securities laws. These statements may involve risks and uncertainties that could cause the company’s actual results to differ materially from the results discussed in such forward-looking statements. The forward-looking statements made during this call are made only as of the date of this call and the company undertakes no obligation to update such statements to reflect subsequent events or circumstances. IFMI advises you to read the cautionary note regarding forward-looking statements in its earnings release and in its most recent Annual Report on Form 10-K filed with the SEC. Please note also that in the company’s quarterly earnings release for the fourth quarter of 2011, the non-GAAP measures have been reconciled to GAAP measures in accordance with SEC regulations. I would now like to turn the call over to Mr. Daniel Cohen, Chairman and CEO of IFMI.
Daniel G. Cohen: Great, thank you, Paula and thank you everyone for joining us for our fourth quarter and full-year 2011 earnings call. With me on the call are John Costas, Chairman of subsidiary PrinceRidge; and Joe Pooler, our CFO. This year we have taken a number of important strategic steps forward in 2011, but still the strong headwinds that have persisted throughout our industry, being fixed income brokerage as we all know over the past year or so we remained. Consequently, our results like those in many of our peers continued to be affected by the deterioration of trading volumes in the fixed income market. We have made substantial progress to solidify what we've been doing. We hope that will show going forward into the future and we are starting to see more positive results even in the fourth quarter of 2011. Although the current year period includes revenue from our PrinceRidge and JVB operating subsidiary, which were acquired in 2011, the extreme weakness in the current capital markets environment significantly reduced the expected impact of these acquisitions. We did generate adjusted operating income of $300,000 in the fourth quarter of 2011 as opposed to an adjusted operating loss of $4 million in the third quarter of 2011 and adjusted operating income of $4.7 million in the fourth quarter of 2010. As I noted, in the fourth quarter results started to show the impact of the significant cost cutting measures we implemented during the third quarter of 2011, the total operating expenses declined by more than 10%. While never easy decisions, these cost reductions were necessary and we're confident that bolstering our capital levels will make us all the more prepared as market conditions start to improve. Accordingly, we believe that we are well positioned to advance our growth strategies and deliver enhanced stockholder returns in the months and years to come. As of December 31, 2011, our total permanent equity base was $77.4 million. Importantly, we are choosing to continue to return value to our stockholders through a $0.02 dividend for the quarter. As always and especially in the context of these challenging markets, we carefully review our dividend policy and will continue to do so in the coming quarters. With that, I’m going to turn it over to John to talk about our Capital Markets business.
John P. Costas: Thank you, Daniel. The fourth quarter would really be highlighted by a focus on completing integration of the former IFMI Capital Markets business and PrinceRidge with a particular focus, I think as we mentioned last time with regard to cost management. We had I believe the management team, led by Mike Hutchins had a successful quarter in reducing our cost structure to allow us to compete going forward. Our non-personnel costs within the group of PrinceRidge were reduced by roughly 20% and our personnel costs were reduced by slightly more than that. We also should experience further savings going forward as by the early part of this year we were able to complete the actual merger of the businesses into the PrinceRidge broker dealer thus eliminating some duplicative costs that were associated with running the two broker dealers. During the quarter, we also continued our focus on trying to grow the business. We added an energy banking team in Houston and established an office there. We added a new head of residential mortgage sales and trading and he has endeavored already to hire five people into that group. And we’re currently in discussions with more than eight banking teams to further build out our investment banking profile across PrinceRidge. The market by and large had picked up for us a bit in the fourth quarter, particularly in some of the trading volumes, but it was a temporary pickup as, unfortunately, the holiday season intervened as December unfolded. We remain cautiously optimistic that this slightly higher level of activity in the fourth quarter will continue throughout the remainder of 2012. And we’re confident that we have the business right sized with regard to expense structure and personnel today to compete successfully vis-à-vis our peer group. We will continue to focus on building out and growing the business throughout the year with an eye on profitability, similarly focused an eye on expanding in an incremental and disciplined fashion the size and scope of the business. So with that, I’d like to turn it back to Joe Pooler, who will go over the fourth quarter period's financial highlights in more detail.
Joseph W. Pooler, Jr.: Thank you, John. For the quarter, we generated adjusted operating income of $300,000 or $0.02 per fully diluted share. This was an increase of $4.3 million from the adjusted operating loss recorded in the third quarter of ‘11. The improvement was primarily the result of significant cost cutting measures that were implemented during the third quarter and to a lesser extent the result of modestly stronger trading and advisory revenue in our PrinceRidge and European capital markets operations. In the fourth quarter, our operating expenses were reduced by $3.5 million from the third quarter, excluding the one time contribution to a non-ordinary course legal settlement. An explanation of the calculation of adjusted operating income is provided in the earnings release. Our net trading revenue of $15.6 million was up $1.6 million compared to the third quarter of ‘11 and up $1.3 million compared to the prior year quarter. Although the current year periods include revenue from our acquisitions of PrinceRidge and JVB closed earlier in 2011. The weakness in the capital markets reduced the impact of these acquisitions. At the end of the year, we had $66.4 million of net equity capital invested in our portfolio compared to $56.7 million as of December 31 of 2010. Our asset management revenue decreased to $5.2 million in the fourth quarter of ‘11, a decrease of $100,000 from the third quarter of ‘11 and a decrease of $1.1 million from the fourth quarter of ‘10. The decrease from the prior year quarter was primarily the result of reductions in revenue due to the sale of our Strategos fund management contracts as reported at the end of the first quarter of ‘11. Again, our total operating expenses for the quarter of $25.2 million, excluding the one time contribution to the legal settlement, were down $3.5 million or 12% from the third quarter of ‘11. The change includes decreases of $4 million in compensation and benefits, $600,000 in business development, occupancy and equipment and $500,000 in subscriptions, clearing and executions. As Daniel and John mentioned, the decreases primarily reflect the impact of the cost cutting measures that implemented through the end of the third quarter to eliminate duplicative costs arising from the PrinceRidge acquisition and to generally lower our fixed costs in the midst of very difficult market conditions. These decreases were partially offset by an increase of $1.6 million in professional services and other operating expenses. This increase in professional services and other operating was mostly the result of higher costs associated with strategic and regulatory matters and our convertible debt exchange offer most of which are not recurring. In terms of our balance sheet, we had $66.4 million of equity capital invested in the trading portfolio, which consisted of assets of $124.5 million of trading securities, $71 million of receivables from brokers, dealers and clearing agents, $130 million of receivables under resale agreements, all offset by liabilities of $24.6 million of payables to brokers, dealers and clearing agents, $99.6 million of trading securities sold not yet purchased and $135 million of securities sold under agreements to repurchase. Our other investments at fair value line item consist primarily of our seed investments in sponsored and managed vehicles. The $42.8 million fair value includes $37.4 million related to our investment in Star Asia, the remaining $5.4 million represents investments in various other permanent capital vehicles and sponsored investment vehicles. At the end of the year, our consolidated corporate indebtedness was carried at $37.2 million. In the fourth quarter of ’11, we paid off and terminated our credit facility with TD Bank, which was set to expire in mid-2012. We believe that our unrestricted cash balance of $18.2 million combined with the $66.4 million invested in our net trading portfolio as of December 31, along with our ability to borrow up to 30% of our investment in PrinceRidge is all sufficient to fund our near-term business model. As Daniel noted, we choose to continue to return value to our stockholders through a $0.02 dividend for the quarter. We will continue to carefully review our dividend policy in the coming quarters, especially in light of the challenging market conditions. The dividend is payable on April 3rd to stockholders of record on March 20th. And finally, in November and December, we did purchase 19,900 shares in the open market of our common stock for $31,000 or an average of $1.55 per share. We expect to file our 10-K no later than this Friday, March 9. With that, I will turn it back to Daniel for closing remarks, before we take any questions.
Daniel G. Cohen: Great, thank you, Joe. As you’ve heard, the capital markets remain difficult, however, we’ve really made significant progress in terms of cost cutting our operating expenses and putting us in a basis where we strongly believe that we should return to profitability and from a GAAP basis and continue to increase our adjusted operating income as we move into 2012. I think the company that has more than adequate liquidity for what it’s doing and we continue to see good performance in our JVB subsidiary as well. So on that note, can I open the line up for questions?
Operator: (Operator Instructions) We have a question from the line of Robert Alford of Atlas.
Robert Alford – Atlas: Hi, can you explain what the legal settlement was related to? That's the first question. The second question, regards to your liquidity, given the converts that can be put to you in May, will that mean you need to shrink your trading book and so that will depress earnings going forward or will you just borrow it and move forward and keep the earnings power going through the trading?
Daniel G. Cohen: Well, let address the second point. I believe the maximum redemption is $10.4 million, Joe. Is that…
Joseph W. Pooler, Jr.: Yes that’s correct Daniel.
Daniel G. Cohen: It’s $10.4 million. We think that we have had especially the PrinceRidge, that’s undeployed funds. Undeployed funds today are in three basis points or so. So I think we’re going to be able to not see any fall off in our performance on the trading side. As to the first question, can I turn that over to Rachael Fink, who is our Chief Legal Officer.
Rachael Fink: Thank you, Daniel. The contribution to the legal settlement that you asked about was in connection with a lot to pending against a CDO a less go 10 for which we, for manager. Related to a letter agreement regarding a possible repurchase of certain trust preferred securities owned by the CDO, by the issuer, the trust preferred securities. The transaction was never completed based to the CDO and in connection with that we agreed to contribute to the settlement.
Robert Alford – Atlas: Okay, so there is no, that’s John, I mean it’s not like a pending, it’s $2.5 million out the door it’s not a pending thing or its, the settlement is behind you, it’s gone and boom. 
Daniel G. Cohen: It was a business decision to put it very much behind us.
Robert Alford – Atlas: Okay.
Daniel G. Cohen: And continue on enjoying the food of the asset management revenue that we have. So great, any other questions?
Operator:  Your next question comes from the line of Daniel Orlow of Orlow & Orlow. 
Daniel Orlow – Orlow & Orlow:  Hi, good morning. 
Daniel G. Cohen: 
Good morning.: 
Daniel Orlow – Orlow & Orlow:  Can you just walk through what you think the points of value are given this current share price because there seems to be a real disconnect between some of the assets they’re still very early in the market today and how management seems to be approaching this question of this depressed price for equity. So if you just walk me though the value realization process over the next two quarters first, and I think we will all agree that it’s been several years in the making but at some point we need to service you a joint password value realization. Thanks.
Daniel G. Cohen: Well, I think that there are couple of important elements in what we’re doing. We have a number of very good franchises that continue to move forward and that continue to develop in terms of our ability to trade bonds as well as our ability and I’ll get later to our asset management side. But in terms of the two most important elements of our company where we deploy capital JVB, which has grown from a liquidity provider smaller broker dealers to a very significant and growing distribution system and agencies and municipals and treasuries and other areas to the same clientele, continues to develop and create value as we move forward. PrinceRidge also in its areas of expertise while trading volumes and investment banking, which is really where it should excel. Our fixed income trading and investment banking, volumes have been off and we have been finishing up a substantial merger and cost saving exercise. We expect moving forward that the value of the franchise that we’ve been building there will be evident. Furthermore we continue to have significant asset management revenue, and I think like many people are in the fixed income space, we’ve suffered substantially, we probably suffered more because of the big transition that we had beginning in the second quarter of 2011, and 2011 was both a difficult market year and the transition year, which hit us doubly but I think that we are moving forward in terms of creating franchise value for PrinceRidge. I think that we expect over the next year from our principal investments that while we’ve grown that book over a period of time. We expect to actually have cash yielding out of that over the next year’s period of time. And that we actually do see opportunities for continue to growing our asset management business. As of quote value realization point, we’ve made no announcements about any strategic initiatives. So I’m not sure besides operating the businesses correctly and trying to maximize value in a difficult environment, how I should respond to that question?
Daniel Orlow – Orlow & Orlow: Well, I know that’s not a leading question. It’s just it’s a very to complex side of businesses for such a small market cap. And so, I’m trying to understand the $1.50 considerably less than how it contributes almost in cash, how it is that you look at this because continuing to operate at the business and saying that there is headwinds despite the franchise value and the merger in all the pieces coming together, I wasn’t sure if there was anything else other than just waiting for the market to turn that could be done to sort of move the process along, it just seems like an incredible discount of fair value for a bunch of different businesses that make sense, but market it’s not paying you for it.
Daniel G. Cohen: Well, I think our first step is to really make sure that the businesses are performing which was really the work of the fourth quarter of last year and continues into the first quarter of this year. And then look at how, I agree for a small company it has a lot of complex businesses.  The key element is to continue our effort to cut costs, reduce overhead, senior management salaries have been reduced by a huge factor. We continue to cut the cost at the overhead, push all of our operating expenses down to our operating subsidiary. At that point, once we’re a little bit less integrated, we’ll be able to address, making sure that the simpler company with a simpler base that’s able to support its overhead going forward.
Operator: (Operator Instructions) Your next question comes from the line Sri Nadesan of Lazard Asset Management.
Sri Nadesan – Lazard Asset Management: Hi, thanks for taking my question. My question refers to the one, the earlier asked questions. My line was not very clear. So this question refer to how you are planning to pay off the convert, you said there was 3 basis points of un-deployed funds, at which, so Joseph can you please clarify that, because the line was not very clear.
Joseph W. Pooler, Jr: Okay, what I said was that our expectation is that we will use funds that are un-deployed. So that we don’t really have to reduce our trading book at any given time and that we have a lot of availability on, in terms of liquidity out of our trading book without reducing our trading activity. Carry costs are relatively low and we’re [in own] unused funds are very low return, which I think is about 3 basis points, not much more than that on the daily available funds. 
Sri Nadesan – Lazard Asset Management: Got it, got it. Okay. So can you put a dollar amounts on the un-deployed funds that you could use for in general for not only for the converted pay back, but for other purposes as well? And also you have the cash is completely unrestricted, right?
Joseph W. Pooler, Jr.: Yeah, our cash is unrestricted. No, I mean, I’ll point out uses for our liquidity that we’ve had, which was paying off for credit line down to zero. We’ll be paying off our converts. Our expectation is that actually we’ll increase our financial resources over 2012. And then we’ll get, what we’re doing in terms of opportunities
Sri Nadesan – Lazard Asset Management: Okay. 
Joseph W. Pooler, Jr.: But, I don’t think I can really quantify the nature of our businesses where we do deploy some substantial funds, opportunistic cash, except to note that we do have the liquidity of pay back with the line almost $17 million, so [when] we pay off $10.4 million of the converts to this point.
Sri Nadesan – Lazard Asset Management: Got it, and then it looks like you bought back a little bit of the convert during the quarter. So right now the redemption value is $10.4 million, can you conform this, you bought back some bonds in the fourth quarter? 
Joseph W. Pooler, Jr.: Yeah, we did, we purchased about a million dollars in notional.
Sri Nadesan – Lazard Asset Management: Got it, okay. Thank you
Daniel G. Cohen: Thank you.
Operator: At this time, there are no further questions. I would now like to turn the floor back over to Mr. Daniel Cohen, for any closing remarks.
Daniel G. Cohen: Okay, well I just want to thank everybody for participating in this call. And I’ll look forward to taking to you and answering your questions again on our next quarterly call. Thank you, very much. Bye, bye.
Operator: Thank you. This concludes today’s conference, you may now disconnect.